Executives: Denita C. Stann - Vice President-Investor & Public Relations Jochen E. Tilk - President, Chief Executive Officer & Director Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc. Mark F. Fracchia - President-Potash Division Wayne R. Brownlee - Chief Financial Officer, Treasurer & Executive VP
Analysts: Mark Connelly - CLSA Americas LLC Jacob Bout - CIBC World Markets, Inc. Ben Isaacson - Scotia Capital, Inc. (Broker) Sandy H. Klugman - Vertical Research Partners LLC Adam L. Samuelson - Goldman Sachs & Co. Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker) John Roberts - UBS Securities LLC Michael Leith Piken - Cleveland Research Co. LLC Vincent Stephen Andrews - Morgan Stanley & Co. LLC Joel Jackson - BMO Capital Markets (Canada) Peter Prattas - AltaCorp Capital, Inc. P.J. Juvekar - Citigroup Global Markets, Inc. (Broker) Andrew Wong - RBC Dominion Securities, Inc. Steve Byrne - Bank of America Merrill Lynch Jonas Oxgaard - Sanford C. Bernstein & Co. LLC
Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Potash Corp. First Quarter 2016 Earnings Conference Call. I would like to remind everyone that the conference call is being recorded on Thursday, April 28, 2016 at 1 PM Eastern. I will now turn the conference over to Denita Stann, Senior Vice President, Investor and Public Relations. Please go ahead.
Denita C. Stann - Vice President-Investor & Public Relations: Thank you, Anastasia. Good afternoon, everyone, and thank you for joining us. Welcome to our first quarter earnings call. In the room with us today we have Jochen Tilk, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; Stephen Dowdle, President of PCS Sales; Mark Fracchia, President of PCS Potash; Raef Sully, President of PCS Nitrogen and Phosphate; and Joe Podwika, Senior Vice President and General Counsel. I'd like to welcome all those who are listening in and remind people that we are live on our website. I would also like to remind everyone that today's call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also, today's news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures. I'll now turn the call over to Jochen for some comments and then we'll go to questions.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Denita. Good afternoon and thank you for joining our call. We appreciate the opportunity to discuss our first quarter performance and what we see ahead for our company. Price pressure across all three nutrients was a key contributor to weaker first quarter earnings, although it is important to note that our earnings of $0.09 per share included $0.06 of notable charges, which puts us closer to the midrange of our guidance for this quarter. Q1 Potash earnings were impacted by both price and volume, largely due to reluctant engagement, as customers tried to gauge further price trends and the deferral of new China contracts. Potash gross margin of $88 million for the quarter trailed 2015's total, given weaker prices and lower offshore sales volumes. As a direct consequence of steps we took to adhere to our potash strategy, our results also included $32 million in severance charges related to the indefinite suspension of our New Brunswick operations and higher costs related to production curtailments in Saskatchewan. In nitrogen, lower energy prices and increased global supply resulted in weaker realizations that overshadowed higher sales volumes and lower production costs. As a result, gross margin of $108 million for the quarter declined from last year's total. Phosphate gross margin for the quarter of $39 million was negatively impacted by lower prices and a $27 million impairment of certain assets at Aurora used to manufacture specialized industrial product we will no longer produce. These two factors more than offset lower input costs and improved reliability and higher volumes. Looking at the balance of the year, we expect an improvement environment. At a macro level, crop economics remain strong and the volatility of emerging market currencies has eased, setting the stage for a more supportive backdrop. In Potash, we're already seeing better conditions; strong domestic consumption in China and expected improvements in the Indian monsoon mean that the furloughed demand is likely to be short-lived. In spot markets, customers are responding to improved affordability and demand is accelerating. With all key regions expected to be engaged in coming months, we see a more stable Potash environment and anticipate that annual global shipments will be in the range of 59 million tonnes to 61 tonnes, slightly below our original guidance given the slower start of the year. The North American market is in the early stages of what looks to be a very promising spring. The USDA anticipates an increase in planted acres, and coupled with supportive farm economics, we believe shipments will exceed 2015 levels. Strengthening nutrient value amid a more modest pricing environment means that we're seeing strong applications in advance of corn and soybean planting and the re-emergence of potash use on pasture land in a number of regions. With lower priced imports from 2015 now largely flushed through the market, negative pricing trends observed in recent months appear to be reversing course. In Latin America, the momentum from a strong start to 2016 is continuing into the second quarter. Economic need and farm economics are serving as incentives for robust deliveries and prices are improving from first quarter lows. Although credit availability issues are not fully resolved, the environment has improved relative to 2015 and we anticipate shipments to this market will outpace last year. With palm oil prices strengthening and plantations needing intensive nutrient applications, we expect demand in Southeast Asia to exceed previous expectations. In India, forecasts for improved monsoon conditions and improved affordability are expected to increase shipments from last year's levels. Domestic NPK producers are working through inventories and will need to begin importing again soon. This brings us to China, the market receiving the most attention right now. While contract negotiations and inventory levels have garnered the headlines in recent weeks, a more important story has largely been absent from the discussion, and that is potash consumption. In fact, potash consumption in China has grown by approximately 50% over the last five years. Consumption is also expected to be strong in 2016 and inventory levels in China, albeit from an elevated level, are now declining. With negotiations underway, Canpotex continues to take a very patient approach, one that is consistent with the view that potash is finite and a valuable resource. Once the contract settles, we expect reengagement in the coming months will support strong shipment volumes for the balance of the year. Despite these improvements in market conditions, the carryover of weaker potash demand and prices from the first quarter is expected to weigh on results and guidance for the balance of the year. Taking into account these factors in our first quarter curtailments, we have reduced the top end of our potash sales volumes range and now estimate we will ship 8.3 million tonnes to 8.8 million tonnes. We have also lowered our potash gross margin expectations to a range of $0.5 billion to $0.7 billion. Nitrogen and phosphate also experienced challenging market conditions in the first quarter and we anticipate this will weigh on results for these nutrients, although improved operating rates, volumes and lower costs should mitigate some of these impacts. We're forecasting combined nitrogen and phosphate gross margin of $0.6 billion to $0.8 billion. With these changes in mind, we now expect annual earnings of $0.60 to $0.80 per share and second quarter earnings of $0.15 to $0.25 per share. We believe that our guidance reflects an appropriate balance between the realty of the current price environment and the confidence we have that signs of improvement will materialize in the second half of the year. In our business, there will always be a certain level of attention on individual transactions: contract negotiations, inventory levels and other seasonal factors. We understand that and, believe us, we observe them with equal diligence. But our aim is not to predict or over-think these variables; our strategy is focused and consistent. It is driven by our confidence in the realities of crop production growth and potash consumption needs. While long-term drivers are compelling and well-established, we must still respond proactively to near-term conditions. In potash, our approach includes matching supply to demand. With first quarter demand weaker than expected, we took meaningful steps consistent with our strategy. In January, we announced the indefinite suspension of our potash operations at Piccadilly, New Brunswick, a facility with plant nameplate capabilities of 2 million tonnes. Production curtailments of approximately 400,000 tonnes were announced in February at our Saskatchewan mines. While these steps impacted our first quarter results, we're confident they best support our medium-term to long-term performance. We also must have the patience to allow our actions to play out in the market and be absorbed in the context of greater economic factors. Being proactive also means optimizing our cost profile. That includes focusing production at our lower-cost facilities while maintaining flexibility to respond to customer needs. Rocanville is an integral part of our optimization plan. We're nearing the final stages of its expansion and plan to begin ramping up capability later this year. As our largest and most efficient operation, Rocanville is expected to reduce our operating costs and increase our Canpotex allocation for future offshore sales. We also focus on our healthy balance sheet and we'll continue to manage it accordingly. We realigned our dividend in January and we'll monitor our payout relative to our expected financial performance. We recognize that our updated guidance range currently falls short of our annual dividend payout, but in light of transitioning market conditions, we believe any adjustment would be premature until we can determine the extent and timing of a recovery. Our goal is to retain a competitive dividend over the long term, but we will not sacrifice the flexibility and opportunity that a healthy balance sheet presents. We believe that recent demand and price weakness in potash are now entering our rear-view mirror. Supportive farmer economics, nutrient affordability and pent-up demand created by short-term deferrals bode well for a recovery. In recent weeks, our supply chain and warehousing capabilities have once again proven to be a vital part of meeting seasonal demand requirements as they emerge quickly. Further, potash prices have stabilized in key regions and the psychology of the market is clearly turning. We see improving conditions for the remainder of 2016, but recognize that the timing and strength of a recovery is still unfolding. Our approach to markets, like our approach to the balance sheet, will continue to be proactive and prudent. Thank you for your time and we now look forward to taking your questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question and answer session. Our first question comes from Mark Connelly of CLSA. Please go ahead.
Mark Connelly - CLSA Americas LLC: Thank you, Jochen. On the topic of China, do you think we're going to be signing an annual contract here which would mean that next year's contract would actually to be done after the planting season is over as well? I'm just trying to figure out whether Canpotex does anything but lose in that sort of a situation.
Jochen E. Tilk - President, Chief Executive Officer & Director: Good morning, Mark. Thanks. Yeah, a very good question. We don't know. Anticipation is that it would be an annual contract because it always has been. I think there's maybe been one exception. But at the end of the day, we're on standby. Negotiations are ongoing. There's, as you know, a holiday at the beginning of May for a week. So anything that may happen will probably happen afterwards. And what the final contract will look like, we don't really know at this point.
Mark Connelly - CLSA Americas LLC: Okay. Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks, Mark.
Operator: The next question is from Jeff Zekauskas of JPMorgan. Please go ahead.
Operator: We seem to have lost Mr. Zekauskas. For now the next question is from Jacob Bout of CIBC. Please go ahead.
Jacob Bout - CIBC World Markets, Inc.: Good afternoon. My question is on the historic strategy of Potash Corp. on price over volume and just what your current thoughts are. And is there a price at which – or what circumstances would we have to see for you to actually abandon that strategy?
Jochen E. Tilk - President, Chief Executive Officer & Director: Good morning or good afternoon, Jacob. My apologies, still morning here in Saskatoon. Jacob, I think as I've been pretty clear in the introductory comments, that we believe our strategy of matching supply and demand is the right one, certainly the right one at this point in time, it has been in the past. And we do believe there's evidence that we see this working. We've taken some pretty significant steps. We've taken some volumes out of the market in Brazil and we think that markets in Brazil have stabilized of those steps we've taken. So we have confidence in that strategy and I'd say one has to be patient about it. We take these steps and they have to play out in the market, so that means some time. And they also have to play out in the context of economic factors. And we know the challenges that each one of our main markets have experienced. But we also believe there's a turnaround ahead. To your second part of the question, what conditions would have to occur or what environment. That's a question that I can't answer because, at this point, our strategy is clear and consistent. And so I really wouldn't want to hypothesize on any possible scenario that would change our mind because that hasn't appeared and that hasn't materialized, so it's really not at the horizon for us so far (15:48). We're going to be focused on the steps that we've taken and we'll see how the market will evolve in the second half. But our confidence comes from the signs of improvement that we're currently seeing.
Jacob Bout - CIBC World Markets, Inc.: Appreciate that.
Operator: The next question is from Ben Isaacson of Scotiabank. Please go ahead.
Ben Isaacson - Scotia Capital, Inc. (Broker): Hi. Thank you for taking my question. I understand the shipments year-to-date obviously have been slow because of excess inventory. China has delayed its contract and others are holding out for China. But you seem to be painting quite a rosy picture in terms of consumption. Can you just elaborate a little bit further, Jochen, in terms of on a regional basis where are you pleased with in terms of actual consumption and are there challenges in other markets?
Jochen E. Tilk - President, Chief Executive Officer & Director: Ben, thanks for the question and good afternoon to you. Yes, absolutely an appropriate question. And I'll give you a bit of a macro picture and then happily turn it over to my colleague, Stephen, who will gladly go into a bit more of a granular perspective. Just looking at perhaps our four biggest markets, the United States, the domestic market, Latin America, predominant Brazil, Asia, and I'll split China and the rest of Southern South Asia. In U.S., it's been very seasonable. And as I mentioned, farmers have been somewhat reluctant to engage. They obviously are aware of price trending and everyone is trying to anticipate where is the bottom. We have recently seen good engagement, I would say very, very good engagement and I'll leave it to Stephen to describe that, how that's evolving. I think about a third of the planting is done now on corn in U.S., so it's quite a bit to come. So if those are early signs of directional signs, then that's one of the source of optimism. The second market, Brazil, we've seen 14% improvement in consumption, at least on the data that's published. We see 3% improvement of imports year-over-year. So we're comparing that to a very, very difficult market in 2015. And we also see that there is an improvement in the whole credit stability in terms of exchange rate volatility that has now somewhat settled down. So if that trend continues into the safrinha, then we also have a reason to be optimistic there. The biggest question in Brazil obviously is price stability, where is it heading. And I think, again, I'll leave that detail to my colleague. In terms of China, everyone looks at the contract and says, what will happen here and when will it happen? And we try to pin it down in terms of timing and certainly the range of possible settlement. We also look and as we're patiently pursuing that objective, but we're also looking at demand within China, we're looking at demand in India. And we realize that at this point in time that that demand is there. And volumes at the port, which we estimate to be at 2 million tonnes to 2.5 million tonnes, are declining now, prices at the port are increasing. The monsoon is positive for India. So we look at 4 million tonnes to 4.5 million tonnes in India. And so the movement has to happen. And the best that we can do or Canpotex can do is to ensure that its supply chain and ability to deliver those products in the second half of the year is solid, which it is. And then the fourth one South Asia, predominantly Malaysia and Indonesia, palm oil prices have gone up 15% compared to last year. And that, again, is an indicator to us that conditions improved. Palm oil plantations are very potassium chloride-intense. So we look at these markets and would pick these signs. And then of course, what is perhaps most importantly, we look at our order books and that of Canpotex and see that as being a sign directionally. So I'll turn it over perhaps a bit more – Stephen is smiling – granular. Stephen, if you want to add some additional thoughts to that.
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: I think you covered these markets quite well, so I don't need to go into too much detail. But I think one thing that we'd point out and as you look at our optimism towards the second half of this year, it's really based on the differentiation between engagement and demand. And what we've been lacking has been engagement. When we're in an environment where prices are falling, everyone fears to grab hold of the falling ice there. And therefore, during the first half of the year, people have been very reluctant to engage the market. Having said that, underlying demand has been strong. And we see it in China; even though there's lack of engagement, the Chinese had inventory going into the year and allowed them to supply their market and they have been supplying their market and demand has been good. They are now getting to the point of timing where they need to engage the market and this is why we expect the China contract to be settled before far too long. In India, we see the lack of engagement. And even this morning there was a report in Bloomberg that IPL is predicting a 30% increase in demand for potash in India this year given the forecast for improved monsoon. This is after two years of weak monsoon. So there's a real anticipated step change that's going to occur in India. In Southeast Asia, the CPO prices have been strong largely based on drought conditions, El Niño influenced that. The forecast is that the drought conditions are going to ease in the second half with the appearance of La Niña. And with positive CPO prices, we expect to see a step-up in demand in Southeast Asia as well. In Brazil, we're at that point now in Brazil just similar that we are at that point in the U.S. – in North America, where we're in a demand period and the lack of engagement that we've seen is now over. And when the growers and the dealers because of time cannot wait any longer, when they do come to the market, we are actually very pleasantly surprised with the demand that we are seeing in these markets.
Jacob Bout - CIBC World Markets, Inc.: That's very helpful. Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks very much, Jacob.
Operator: The next question is from Sandy Klugman of Vertical Research Partners. Please go ahead.
Sandy H. Klugman - Vertical Research Partners LLC: Thank you. So Potash Corp has historically taken the lead in curtailing production. And we saw similar actions taken by some of your competitors in recent months. So the question is what's your perception of the willingness of the FSU and even your North American competitors to continue taking product offline? And then over the long term, what are your expectations for how K+S and EuroChem will market their tonnage when it comes online?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, thanks for your question. It's not appropriate for us to comment on how our competitors behave or how we should expect them to behave. What I can tell you is how we will behave, what our actions are in the market. And as I said, we will continue to pursue our strategy of matching supply and demand. So that's as much as I'd like to respond on to your first part of the question. The second part, how others will market their tonnes, again, we don't know. We know what was published and what's out there, which is the same information that you have. But beyond that, we would speculate and, again, that would not be appropriate for us to do.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. That's fair. And just a follow-up question on the sustainability of the dividend. When you look out at your CapEx budget, what type of room do you have to potentially pull back on that budget if necessary to continue to support the dividend?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, we took it down about $100 million, which is really the level that we can do without cutting into our sustainability projects. And to be frank, there is obviously a limit to that. Beyond that point, we start reducing the capital below a level that or at a level that would no longer allow it. So I can tell you that's about as far as we can go and that's as far as we like to go because we strongly believe, and we've always done that, to maintain our assets in top quality. So the $100 million is probably as much you should expect for the year as a reduction.
Sandy H. Klugman - Vertical Research Partners LLC: Thank you very much.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you.
Operator: The next question is from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam L. Samuelson - Goldman Sachs & Co.: Yes, thanks. Good afternoon. So I guess I want to go back to this statement you made earlier, Jochen, about a clear and concise strategy that's been consistent over time. And I maybe just ask a reflection because you look at where the market environment has gotten to over the last, call it, six months, the matching supply with demand has in reality not benefited the Potash price, the Potash core earnings outlook and ultimately the shareholders. And I'd like to just hear your reflections on what, if anything, on the market side, is it just the commodity price, has it just been the weather the last two years, that you think has been the biggest impediment to driving long-term value with the current strategy?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, again, thanks. Good afternoon. Thanks for your question. There's three components to your question. One is the reasoning behind the strategy and then the second part is the conclusion that it may not have benefited our earnings and therefore our shareholders. And I think a fourth one is more prospective. To the first one, we obviously look at that beyond a short-term gain. And I pointed out there has to be an expectation that it takes time. We've taken steps in terms of pulling out an operation that has 2 million tonnes of operating capacity and one should not expect an immediate result. We've also taken some curtailments that reflect about 400,000 tonnes. And it will take time in the market to play out. So the duration at which you see results is something that is beyond just a couple of weeks and we know that. And then we need to test that, because that is the confidence we have in the strategy. So I think it would be premature to judge and say, it's not working or you're not seeing the benefit because that would be a bit of a quick reaction and I think we planned this carefully. To your second part of that it may not have benefited earnings and therefore shareholders. I just beg to differ on that one because we've taken these steps because we want our shareholders and our earnings to benefit in the long term. And if we wouldn't believe that in the longer term beyond this period in the quarter that we would see the success, we certainly would not have taken the steps because we believe that they're in the best interest of our earnings profile and therefore of our shareholders. You have to, and I add this to it, look at that in the context of the economic conditions. I think if you look Brazil, if you look at some of the conditions in the States at the beginning where we started off with the imports and some others, I think there were some of the most difficult conditions that we've experienced in a long time and certainly from Potash Corp's perspective in many, many years. And if we are able to achieve results like that in the most difficult position, then from a prospective outlook, we certainly have significant upside potential. So I think we need to pursue that. We need to be confident and consistent and then see in the second half if the things play out. And then I think we'll have this chat again.
Adam L. Samuelson - Goldman Sachs & Co.: All right. Thank you.
Operator: The next question is from Chris Parkinson of Credit Suisse. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much. You did hit on this a little bit. Following the cut to CapEx guidance, can you just comment on the remaining balance, primarily anything relating to Rocanville and how much leeway you may see in 2017? And then also you saw a little jump up, I guess it was $300 million plus in short-term debt. What was the exact cause of that? Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, so on any remaining capital, it's really not a lot. And some of it is associated for the preparation for the Canpotex run. So I'll turn it over to Mark Fracchia, our President of Potash, to respond to that. And then on the second on the $300 million, I'll turn it over to our CFO, Wayne Brownlee, right after that. Mark?
Mark F. Fracchia - President-Potash Division: Yeah, hi, Chris. The capital expenditure at Rocanville for an expansion for 2016 is going to be about $80 million, which is a pretty small fraction of the total CapEx we had in the project. It's really winding down toward completion by the end of this year. And the majority of that is going to be spent on completing the conversion of our number two headframe from a service headframe to a production headframe.
Wayne R. Brownlee - Chief Financial Officer, Treasurer & Executive VP: The increase in the short-term debt – it's Wayne Brownlee here, is really working capital issues.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks.
Mark F. Fracchia - President-Potash Division: Thanks, Chris.
Operator: The next question is from John Roberts of UBS. Please go ahead.
John Roberts - UBS Securities LLC: Thank you. On slide seven where you show only one year of data there for affordability of fertilizers versus crop prices. If you went back through a few cycles, what does the current gap look like versus maximum gap in previous cycles?
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks, John. Stephen will address that.
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: The crop and fertilizer price index right now is just showing that the affordability of fertilizers, and this is what the underlying basis for why we believe that where we've seen engagement we've seen good demand is because the market recognizes that there's a good value. And this is especially true in potash and urea. And as that graph will show, we've gone through periods where crop prices have spiked and fertilizer markets have sometimes responded and sometimes that response has lagged. So if you go back over a period of time, you're really going to be looking at the differential between the crop market reacting and how fast fertilizer prices will respond to that. It will be more I think a reflection of the lag that occurs between the two. In general, there is a correlation. And when you get in periods where you have a big gap, typically you'll see that gap close and you'll see either crop prices will be coming down or fertilizer prices will be coming up. And we believe right now with the gap that we're seeing is that it's supporting demand and there's certainly a scenario where we could see that if these crop prices hold at levels that they are that it's going to support a firmer market for fertilizer prices and nutrient prices in general that will begin to close that gap.
John Roberts - UBS Securities LLC: And then are you equally bullish on nitrogen and phosphate, or is it primarily your comments here on your larger business in the potash market?
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: Well, I think as far as looking at nitrogen, it's interesting to see what's happening right now. Because, as you know, Chinese urea exports have been quite a factor in the market. And right now, in China, we're in the season in China, and we see very robust demand for urea domestically. And, in fact, the domestic prices right now are higher than the export prices. And the exports therefore are in a downward trend. And there are some folks that are forecasting total urea exports in 2016 down to levels of about 8 million tonnes to 9 million tonnes. This is down from almost 14 million tonnes in 2015. And so, hat is certainly painting a scenario in the second half where you could see a little firmer urea prices. You see in the last tender in India the participation from the Chinese urea producers was very subdued. So I think that bodes a little different scenario than what we've seen here in the last 12 months in the urea market. The phosphate market has been pretty flat I would say. And so I don't right now see anything on the horizon that's going to move that market significantly one way or the other.
John Roberts - UBS Securities LLC: Thank you.
Operator: The next question is from Michael Piken of the Cleveland Research Company. Please go ahead.
Michael Leith Piken - Cleveland Research Co. LLC: Yeah, good morning. I just wanted to touch base on your thoughts on some of the new capacity that's coming on line and maybe your thoughts on the timing and how much new capacity we might expect by the end of 2016 and really into 2017 and 2018.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, good morning, Mike, or good afternoon. Yeah, so two projects that are greenfields, Legacy and the EuroChem mines, and then of course the expansions that underway and most predominantly the one that's outstanding is the Rocanville one. And as we've communicated, Rocanville will add about 3 million tonnes to our capacity as it is ramped up in commission. The other two, Legacy, I'm quoting what's in the public domain, so we all share the same information. But our view is that, and we take essentially what the respective companies publish, is that Legacy will come on line with small production by the end of the year and then will eventually evolve to its anticipated capacity. Whether or not they'll ramp up as fast as they predict or if there are some challenges, we don't comment on that. We take what is in the public domain. The two EuroChem mines will evolve and then enter production around 2020. And that's what we have in our forecast going forward. And then there are some smaller ones. What we don't have forecasts, essentially some of the Junior projects perhaps that have been commented on. We believe that, in this environment here with the need for financing and some of the bigger technical challenges that they're less likely to come into production. And so we do take a more cautious view on them. If we then extrapolate that and look at 2020 as a target point, we believe that the operational capability at that time will be approximately 74 million tonnes. And that would compare to what we see today of just approximately 65 million tonnes. So if you compare the two, we look at about 8 million tonnes in the next five years on operation capability to come on line. And as a reminder again, 3 million tonnes of that is Rocanville.
Operator: The next question is from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks and good afternoon, everyone. Just curious now that New Brunswick is a Canpotex port, if there anything changed within Canpotex or within Potash Corp. or both about exporting potash to the European market?
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks. And good morning, good afternoon. So we did start – Canpotex started using the port. There have been a few shipments, but not to Europe. To Latin America. In terms of our European strategy, we're looking at it. We have been looking at it. We don't believe in a disruptive strategy. Everyone – I think we all know about Europe is still a bit of a premium market. But we looking it from a longer perspective. If it makes sense for Canpotex to ship to the European market, then it would certainly consider that. But so far, we haven't done that.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: What would make sense given the net backs look quite attractive already?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, they are. But you also have to look at dynamics of the market, how quickly they could possible erode and displacement of product into other places in the world. So there's all kinds of factors. But really the way we look at it, the analysis are more from a longer perspective. So in other words, does it make sense for Canpotex to enter the market? What would be the longer-term prospect of doing so, what would be the longer-term impact? And that would be the basis for our decision whether or not we'd do so.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Can I just sneak one last one in? If you decided you wanted to enter Europe, how long would it take you?
Jochen E. Tilk - President, Chief Executive Officer & Director: In terms of logistics, not very long at all.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah.
Operator: The next question is from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel Jackson - BMO Capital Markets (Canada): Hi. Good morning. Just wanted to talk what the strategy that you did in Brazil the last few months. It seemed like Canpotex pulled tonnes out of Brazil and even Mosaic bought some tonnes in BPC for the first time I believe. And since that time, it seems like BPC has now given up on $250 a tonne in Brazil, just trying to hold $240 a tonne. And some of your competitors now are back down to the low price of $215 a tonne and $220 a tonne. So just give me some sense of the strategy in Brazil. Did it work? And what's your sense there going forward? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks for your question. So I'll start with a statement. We do think the strategy is working. And evidence of that is that prices have stabilized. And, yes, you can look at individual transactions and speculate, hypothesize, what prices may be or could have been had we not done what we did. I think it gets very hypothetical. At the end, it is a combination of product availability and demand. And the combination will determine what prices or the direction prices will head. What happened is that by having reduced some of the volumes to the customers that obviously product supply in Brazil is less. But we also know that demand has gone up and will continue to go up with safrinha coming in. And it's that combination that we anticipate will determine the price dynamic. So in terms of has it worked or hasn't it, I think it has. And will it continue to work? I think that will depend a little bit on the combination that I said out there. So I don't know, Stephen, if you want to ask something to that and...
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: I think the story in Brazil is not so much what has happened in the first quarter. I think the story in Brazil is what will be unfolding here on a go-forward basis. And particularly as that market engages at 100% level, it will be engaging at the same time that China and India is engaging. And as we've seen in Brazil, it's truly a spot market and prices can change significantly from transaction-to-transaction. And we expect in this kind of environment that there's a lot more upside potential in Brazil than there is downside.
Operator: The next question is from Peter Prattas of AltaCorp Capital. Please go ahead.
Peter Prattas - AltaCorp Capital, Inc.: Good afternoon, everyone. I'm looking at the midpoints of your potash sales volume guidance and global shipments estimate and it seems you are still expecting a flat result year-over-year and essentially expecting to retain your market share. I'm wondering just given your leadership and the price over volume strategy, why might you not be a little bit more lenient in giving up market share in the short term just to help balance the market? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thanks for your question. And you're correct. Our sales guidance is 8.3 million tonnes to 8.8 million tonnes with a midpoint of 8.5 million tonnes, slightly below what we said at beginning. In terms of the balance between balanced supply and market share, it really is a judgment call. It is a balance. We have loyal customers who we've done business with for a long, long time and we will look after them. We understand the markets very well. And at the end, the decisions that we make in terms of how do we balance that between servicing our customers, delivering product into certain markets, is really a decision that we make on that balance. Down the road, I think we continue on that, but the principles of what we have done in the past are really the same ones going forward.
Operator: The next question is from P.J. Juvekar of Citigroup. Please go ahead.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yes, hi. Jochen, over the last five years, your realized North American potash price, which was always about $50 to $100 higher than international price, that premium seems to have been declining. And so, can you explain why that is? Are we seeing more imports that is causing this delta to come in?
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, I'll give you two reasons particular this year. One, certainly are the imports and the impact they had on the premium, which since deteriorated. In fact, arguably U.S. is a discount market now. And those imports set for some time barges on the Mississippi river and the numbers in terms of pricing offering were significantly lower and that had an impact. And I think for as long as that material is sitting and barged on the river, it will have an impact. The good news is and the important news is that that material is now flushing through the system and it'll probably flush relatively quickly in the current demand environment. The second one is the reluctance to buy. And I made that point earlier that there was a reluctant in U.S. to engage by our customers because an anticipation of perhaps a further price trends downward. And I think people believe that the bottom has been reached. And then obviously that engagement comes in and that's the evidence that we're seeing right now. And the third one is perhaps most plain and simple is seasonal is we see every year when the season kicks in then that behavior changes and the engagement is there. So the combination of the three, the imports, the reluctance to engage at the beginning and then the seasonal impact, probably had the biggest impact on the domestic market and the deterioration of the premium.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you. And quickly, what has happened to Russian rail shipments of potash into China? Has that caused Chinese inventories to go up? Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, Stephen?
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: The question was Russian rail shipments, was that the question? Yeah, actually they're down just slightly year-over-year for the first three months. And so it's really been nothing out of the ordinary.
Operator: The next question is from Andrew Wong of RBC Capital Markets. Please go ahead.
Andrew Wong - RBC Dominion Securities, Inc.: Hi. Good afternoon. So I'd actually like to go back to the price versus volume again, but maybe from a different angle. So as has been mentioned during the call, there are some signs of stability and better demand fundamentals in the upcoming months. So as the demand environment improves, how do you balance achieving price gains versus volume gains? And do you think both can be achieved, or is there some sort of tradeoff that needs to be made? Thanks.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, thanks for the different angle. I think, again, it's a judgment call and it's a balance of ensuring that we get price momentum and stabilize it. And our view and we said that is we think that long-term price stability and the bandwidth of prices is the optimum. We'd like to see crop nutrient affordability. We'd like to see prices to support organic growth in consumption of nutrients, but we'd also obviously like to see the opportunity to obtain a return and support the earnings for our shareholders. So, there is that balance that drives that. And as we look forward to that bandwidth, we balance it carefully. Right now, our objective is to see that markets stabilize and we come out of this bottom and see a more favorable price environment.
Operator: The next question is from Steve Byrne of Bank of America. Please go ahead.
Steve Byrne - Bank of America Merrill Lynch: Yes, thank you. Jochen, you mentioned earlier in your remarks about Chinese potash consumption being up 50% over the last five years. I was wondering if you could comment on your outlook for this trend or the intermediate term from a couple of government initiatives in China, the first one being the country's or the government's target of holding fertilizer consumption at 1% gains per annum through the end of this decade. And perhaps you can comment on how they intend to enforce that? And then the second initiative is just how that government is changing the way they subsidize the farmers and moving away from support prices on crops. What impact do you think that will have on fertilizer trends? Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Yeah, thanks. Thanks for your question and good afternoon. The first one, which has been out in the public for one about a half year, the announcement of the government to essentially have flat nutrient applications. They did not specify a particular nutrient, but made that a broad statement. I think we believe that mostly addresses really nitrogen and phosphate. And when you look at the potassium deficiency of soils in China, it's quite dramatic actually. So we don't believe that affects potassium or potassium chloride potash; in a way it may affect nitrogen and phosphate. To your question how that may be enforced, it's a really good question. I don't think it practically can be enforced because when you look at farming and the application of nutrients, it's pretty hard to curtail a farmer from applying. But as an objective, I think we understand that it's out there. I think it would be an educational process, farmers' education to apply more balanced nutrients, NPK fertilizers rather than be heavy and long on nitrogen phosphate and there might be the enforcement through education. And, again, that may play out favorable for potash consumption. And on your second one, the second one is the subsidy on corn. You would think that it would reduce the amount of arable land that it is applied, but when you look at the amount of potash that is used on that margin land, it's actually relatively low. It's not a huge amount. So the consequence might be a reduction of that land that's farmed because of the reduction or elimination of that subsidy. But on the other hand, that has not consumed a lot of potash fertilizers so we don't anticipate that being a big impact. So one more likely favorable actually on a net basis for potash and the other one we'd say neutral. Stephen, any...
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: The only thing I might add to that is what's also helping to support this move to a more balanced use of nutrients is the growth in the NPK industry. And that's really a very important driver of Chinese consumption right now of fertilizers. And the government supports it in the sense that, in one sense it's a way of delivering education to farmers because instead of asking farmers to apply urea or phosphate or potash individually in the right ratios, you give them a good NPK product that is in a proper balance, it really is helping to correct some of the imbalanced use of urea and phosphate in China.
Steve Byrne - Bank of America Merrill Lynch: And, Stephen...
Denita C. Stann - Vice President-Investor & Public Relations: I'm sorry. Go ahead.
Steve Byrne - Bank of America Merrill Lynch: Thanks, Denita. Just, Stephen, if you could just follow up on this question with that respect to the shift to more of an NPK blend. Does that more or less preclude a fall application season, given the potential loss of that N?
Stephen Dowdle - President, PCS Sales, Potash Corp. of Saskatchewan, Inc.: No, because I think there still will be some direct application going on. And what people will do, and particularly where you have heavy fall application in the Northeast, it's interesting that you have more bulk blends being used, which can facilitate fall application because you don't necessarily have to include urea in those plants. And then top dressing urea is quite common in China and probably will continue. So it really doesn't impact the areas in the geographies where you do have fall application.
Steve Byrne - Bank of America Merrill Lynch: Thank you.
Denita C. Stann - Vice President-Investor & Public Relations: Thanks, Steve. Anastasia, we'll have time for just one more question.
Operator: Thank you. Our last question is from Jonas Oxgaard of Bernstein. Please go ahead.
Jonas Oxgaard - Sanford C. Bernstein & Co. LLC: Good morning, Jochen. A question for you in light of the downgrade of your debt. Has that caused you to reconsider your ownership stake in the various JVs you have or minority interests you have?
Jochen E. Tilk - President, Chief Executive Officer & Director: No, good morning, Jonas. No, it would not have an impact. The way we look at ownership in our various investments.
Jonas Oxgaard - Sanford C. Bernstein & Co. LLC: Fair enough. How do you think about your ownership in general then?
Jochen E. Tilk - President, Chief Executive Officer & Director: Well, very similar or identical to what we communicated in previous calls and previous opportunities that there are some that are very strategic to us and others that we are considering and some where we could increase our stake or we may reduce it. Timing is everything. Right now markets are difficult from an equity perspective and it probably isn't the best time to transact from a point of divesting. But our view of keeping those that are strategic and reconsidering others that are not is consistent today as it was a few months ago.
Jonas Oxgaard - Sanford C. Bernstein & Co. LLC: Very good. Thank you.
Jochen E. Tilk - President, Chief Executive Officer & Director: Thank you, Jonas.
Denita C. Stann - Vice President-Investor & Public Relations: Thank you, everyone. If you have any further questions today, please don't hesitate to give us a call at the office. Have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.